Operator: Good morning, and welcome to the Wabtec First Quarter 2017 Earnings Release Conference Call. All participants will be in listen-only mode. Please note this event is being recorded. I would now like to turn the conference over to Tim Wesley. Please go ahead.
Timothy R. Wesley - Westinghouse Air Brake Technologies Corp.: Thank you, Kate. Good morning, everybody, and welcome to our 2017 first quarter earnings call. Let me introduce the others who are here with me in the room, Al Neupaver, Executive Chairman; Ray Betler, our President and CEO; Pat Dugan, our CFO; and John Mastalerz, our Corporate Controller. We'll be happy to take your questions after we make our prepared remarks. And of course, during the call, we will make some forward-looking statements, so we ask that you review today's press release for the appropriate disclaimers. Al, do you want to get started?
Albert J. Neupaver - Westinghouse Air Brake Technologies Corp.: Yeah. Thanks a lot, Tim. Good morning, everyone. Our first quarter adjusted earnings were in line with expectations with growth in our transit business offsetting lower revenues in our freight business. We expect our sales and earnings to improve each quarter this year. And today, we affirm the guidance we issued in February. Ray and Pat will discuss our results and operations in detail shortly. But before I turn it over to Ray, I'd like to comment about the progress we've been making on the integration of our acquisition of Faiveley Transport, an acquisition we completed only a few months ago. After completing the purchase of the family stake in December, we began a tender offer for the remaining public shares. By late March, we had acquired more than 95% ownership, which enabled us to move forward with a squeeze-out process to complete the transaction in late March. As we said before, this acquisition represents the most strategic acquisition we've made today and we're very excited about the growth opportunities in the synergies. We now have a strong position in the global transit market that provides increased diversity of our revenue base across markets, across products and across geographies to offset the cyclicality of the U.S. freight market. We also have a strong established platform of products and service capabilities in Europe and in Asia Pacific, the two largest transit markets in the world, with a full range of technologies to serve these as well as other global markets. Let me give you a little update on the synergy activities. We estimate synergies to be about $15 million to $20 million in 2017, and we expect the long-term annual synergies of at least $50 million to be achieved by year three through revenue growth, through supply chain efficiencies, operational excellence and cost savings, and by leveraging our engineering and administrative capabilities. In total, we're tracking more than a 100 synergy projects. We have active projects in every operational and functional area. We're generating early successes in sourcing new product development optimization, tax planning and in reduced redundant activities and resources. Work on longer-term synergies is also proceeding with a focus on facility consolidation, global and market expansion and new product development. So once again, just a few weeks into the integration process, we're pleased with the progress of – and excited with the long-term opportunities and benefits we expect to achieve. I'll turn it over to Ray now.
Raymond T. Betler - Westinghouse Air Brake Technologies Corp.: Thanks, Al. Financially, our performance in the first quarter met earnings expectations with an adjusted EPS of $0.84. Al will cover the adjustments later in his remarks. During the quarter, our backlog increased 2% compared to the fourth quarter backlog and our book-to-bill was 1.1, which is a positive indicator. We're still facing challenging conditions in some of our freight markets and we continue to reduce cost as necessary, although we saw freight aftermarket revenues increased for the second quarter in a row, which is another positive. During the quarter, we purchased the remaining shares of Faiveley and made good progress on the integration. We acquired Aero Transportation Products, ATP, a manufacturer of hatch covers and outlet gates for freight cars with annual sales of about $40 million. We announced the signing of a $97 million contract to provide signaling and communication services to TEX Rail. And then earlier this month, we acquired Thermal Transfer, a manufacturer of heat exchangers in industrial markets with annual sales of about $25 million. And we acquired Semvac, a European-based manufacturer of sanitation systems for transit vehicles with annual sales of about $15 million. So, we've been busy running the company day-to-day and making strategic investments for the future. Based on our first quarter performance today, we affirmed our 2017 guidance. For the year, we expect revenues to be about $4.1 billion with earnings per diluted share between $3.95 and $4.15, excluding restructuring and transaction charges and non-controlling interest related to the Faiveley acquisition. The midpoint of the EPS range represents growth of about 6%, 7% compared to the 2016 adjusted results. Due to the ramp-up of projects already in the backlog and the timing of synergies from the Faiveley acquisition, we expect our revenues and adjusted EPS to improve sequentially during the year, with more acceleration in the second half. Accretion from Faiveley will increase during the year as projects and synergies kick in. Other assumptions include the following. Revenue growth for the year will come from our Transit Group with the Freight Group expected to be slightly down. Faiveley will be accretive, but its financial impact will be reduced by expenses for additional interest and a higher share count, along with purchase price accounting charges. We're assuming foreign exchange headwinds of about $55 million at current rates. And our tax rate is now expected to be about 27.5% for the year. We're now assuming diluted shares outstanding of about 96 million for EPS calculation purposes, that's a bit higher than the 95 million we were previously assuming. Our goals in 2017 remain the same as we discussed earlier in the year. Those goals are to meet our financial plan, to right-size our business and remain disciplined when it comes to controlling cost, to generate cash to invest in growth opportunities while strengthening our balance sheet, and to ensure smooth and effective integration process with Faiveley, and to capture the synergies and growth we expect. As always, we will strive to control what we can and manage our business effectively. Our transit markets remained stable, both in the U.S. and abroad with new projects expected to ramp up this year, and good bidding activity to continue overall. Reflecting this activity, our transit backlog remains at a record high. During the quarter, we won orders for air conditioning equipment in Sweden, brakes and couplers in Italy, brake systems in Dubai, and in particular, our orders for aftermarket services were strong, which certainly helps our margin outlook. Over the next several years the strongest market growth is expected to be in Western Europe, Germany, France and the UK, as well as Asia Pacific, India and Australia, while talk of infrastructure-focused spending in the U.S. could also provide additional opportunities. We're bidding on several significant future projects in the U.S., France and Australia, and expect to announce some of these project wins, as we go forward through this year. In addition to sales growth, we are focused on improving margins in transit. Many of the synergy projects that Al mentioned involve plans that we believe will drive significant margin improvement over time and we're committed to delivering on those plans. Let's turn to the freight markets. In NAFTA, freight rail traffic is rebounding after being down for two consecutive years. Through mid-April, total traffic was up about 4%. As a result, we are seeing a slight pickup in our aftermarket business, and we should see more benefits as we go through the year if the rail traffic continues to improve. We see no change to our 2017 freight assumptions. Railroad CapEx, which declined about 15% in 2016, is expected to be down again in 2017. Locomotives down about 6% worldwide, including down about 30% in NAFTA. Freight cars down about 10% worldwide, including about 30% in NAFTA. Combined, that represents a headwind of about $120 million in revenue. We have opportunities still to offset most of these headwinds because of our growth strategies and diversified business model. Aftermarket in the U.S. and elsewhere, international projects in places like India, acquisitions we've completed in 2016, which will add incremental revenues of about $100 million through Graham-White, Unitrac, Pride Bodies, Workhorse are all positives to offset the headwinds. We continue to focus on growth. Our priorities for allocating free cash have not changed, although we also expect to reduce debt during the year. So, our use of free cash will be to fund internal growth programs, including product development and CapEx, to pursue acquisitions, which are strategic and have ample opportunities to deploy capital in this area. And thirdly, to return money to shareholders through a combination of dividends and stock buybacks, our current share repurchase authorization program which still exists. So we remain focused on increasing free cash flow by managing cost and driving down working capital, controlling capital expenditures. Our corporate strategic growth initiatives continue to be the same. We're focused on new products and technologies. We're focused on global expansion. We're focused on aftermarket expansion and on strategic acquisitions. So let's talk about each of these. In the area of new products, we have always viewed our mission is helping customers to increase their safety, productivity and efficiency. So our future product roadmap is focused on just that, whether it's data analytics through electronics and sensors or train control automation using onboard computers. We have an extensive pipeline of innovation in both freight and transit around the world. We're also working on a number of green initiatives, which are environmentally-friendly product developments, such as charging systems for electric buses and ferries, low-energy consumption HVAC systems and a compact lower weight door mechanism. On the global and market expansion front, for the quarter sales outside of the U.S. were $590 million, or 65% of our total revenues. Examples of recent orders include ECP brake systems, and other freight components in Australia, sensors in wayside monitoring equipment in India and pantographs in South Africa. In the area of aftermarket expansion, sales for the quarter were $519 million, or 57% of our total. As I mentioned, we have started to see some slight pickup in our freight aftermarket business due to increased rail traffic in the U.S. If freight traffic continues, we expect to see more benefits. Let's talk about train control and signaling. Train control and signaling remains an important part of our long-term growth opportunities, although it's part of the reason why our freight revenues were down in first quarter. In first quarter, revenues from train control and signaling were about $68 million. For the year, we expect them to be flat to slightly up. We have been selected for several PTC projects in transit and hope to announce details of those soon, some of which are expected to begin later this year. Long-term, we expect PTC in signaling will be a growth business for Wabtec based on the following opportunities: multi-year maintenance and service agreements which include software and product enhancements, international projects, and continued growth in signaling through organic investment and acquisitions. We're beginning to see some evidence that our long-term strategy is working. We signed a $97 million contract to provide signaling and communication services to TEX Rail, for a new commuter rail line in the Fort Worth, Texas area. We signed several maintenance and service agreements related to train control, but once again, our new product roadmap includes considerable activity in this particular product area. On the acquisition front, our pipeline continues to be active and we're pleased with the opportunities we're reviewing. This year, so far, we've acquired Aero Transportation Products, a manufacturer of hatch covers and outlet gates for freight cars with annual sales of about $40 million, which increases our market share. Thermal Transfer, a manufacturer of heat exchangers for industrial markets with annual sales of $25 million, which provide synergies with our existing heat exchanger businesses. And we acquired Semvac, a European-based manufacturer of sanitation equipment and systems for the transit market with annual sales of about $15 million, which fits with our existing Microphor business here in the U.S. So each company meets our strategic criteria either with new products, more geographical coverage or strong aftermarket opportunities. So with that, I'd like to ask Pat to talk about some of the financial details.
Patrick D. Dugan - Westinghouse Air Brake Technologies Corp.: Okay, thanks, Ray. So sales for the first quarter were $916 million, and when you look at the breakdown between the segments, Transit segment sales increased 72%, mostly driven by the Faiveley acquisition. Acquisitions contributed about $270 million of additional sales. FX was a drag, actually reducing our Transit segment sales by about $23 million and the rest was flat organic sales for the quarter. Looking at the Freight segment, those sales decreased about 21%. We had lower organic sales mainly from PTC, from freight OE, and aftermarket businesses, that was down about $130 million, and it had a small FX impact of about $2 million and that was offset by some acquisitions of about $37 million positive. In a positive sign, freight sales were higher than the prior quarter for the first time in nearly two years. And if rail traffic continues to increase, we would expect that trend to continue. Our operating income for the quarter was $115 million. This included transaction expenses of about $8.9 million related to the Faiveley acquisition. Of this, $3.4 million was a one-time purchase price accounting adjustment and included in cost of sales, and the rest is reflected in the SG&A line. If you exclude these expenses, operating income was $124 million and about 13.5% of sales. Going forward, we expect SG&A to be about $120 million per quarter. Engineering expense and the amortization were up mainly due to the Faiveley acquisition, and we expect similar run rates for the rest of the year. Interest and other expense, which is a net number, was about $15 million for the first quarter, the higher interest expense was due to the borrowings for the acquisition. And going forward, we expect a similar run rate for interest and other expense, although we are focused on generating cash and reducing our debt and the related interest expense throughout the year. Income tax expense, our effective tax rate for the quarter was 27.6%, and this included an expense of about $2.1 million for an adjustment related to the opening balance sheet for the Faiveley acquisition. Going forward, we expect our annual effective tax rate to be about 27.5%. And I always remind you that, that's an annual forecast, and our quarters may vary due to timing of any discrete items. Just to help a little bit on the earnings per share and help you reconcile, just some more information here. Our GAAP earnings per diluted share for the first quarter about $0.77. The effect of the restructuring and transaction expenses, the tax adjustment, and our non-controlling interest related to the Faiveley acquisition, reduced EPS by about $0.07. So adding that back, our adjusted earnings per share was $0.84. Just to put some numbers and some to this. Net income per diluted share $0.77 in accordance with GAAP. You add back our one-time PPA in the cost of sale line, that was about $0.03. You add back the restructuring and transaction expenses in SG&A about $0.04. You add back our tax expense item, I referred to, that's about $0.02, and then a deduction because the non-controlling interest was actually a positive income item was $0.02, that reconciles to $0.84 on an adjusted basis. So moving to our balance sheet. Our balance sheet remains strong. It provides the financial capacity and flexibility to invest in our growth opportunities, as Ray outlined them, and just I always remind you that we have an investment grade credit rating, our goal is to maintain that rating. Working capital at March 31, we had receivables about $704 million, inventories were about $704 million, and accounts payable were $565 million. Cash on hand at the end of the quarter $280 million, mostly held outside of the U.S., and our debt at the end of quarter $1.870 billion, and it consisted of $750 million of 10-year senior notes due in 2026; $250 million of bonds due in 2023; a $400 million term loan, that's a 5-year expiration, and then a – I am sorry, that's a 3-year expiration and then a revolver for $400 million, that's a 5-year expiration. Looking at the balance sheet, you can see that our net debt-to-EBITDA is about $2.7 million. Just a couple of miscellaneous items for the questions we always get. Our depreciation for the quarter about $16 million, compared to $11 million in last year's quarter. For the full year, we expect depreciation to be about $65 million. Our amortization for the quarter $8 million, compared to $5.3 million in last year's quarter, and for the full year, we expect it to be about $38 million. And our CapEx for the quarter $19 million, compared to an $8.5 million. For the year, we're budgeting about $110 million, we tend to lag our budget a little bit every year. Our backlog at the end of the quarter, we have a multi-year backlog, it was a record $4.1 billion, including $2 billion from Faiveley and our book-to-bill was about 1:1. The transit backlog was $3.5 billion, and freight $582 million. Our rolling 12-month backlog, which is a subset of the multi-year backlog, was $2 billion, transit was $1.6 billion, and freight about $400 million. So with those comments, I'll turn it back to Ray.
Raymond T. Betler - Westinghouse Air Brake Technologies Corp.: Thanks, Pat. So to summarize, our first quarter earnings were in line with expectations, and we affirmed our guidance for the year. Even though we continue to face some challenging conditions in the freight market, we continue to stay focused on controlling what we can and on investing in growth opportunities. We're pleased with the progress we're making on integrating Faiveley and on our synergy planning. We're confident that our diversified business model and our balanced growth strategies will enable us to respond to both long-term opportunities as well as short-term challenges. And with that, we'll be happy to answer your questions.
Operator: The first question is from Allison Poliniak of Wells Fargo. Please go ahead.
Allison A. Poliniak-Cusic - Wells Fargo Securities LLC: Hi, guys. Good morning.
Raymond T. Betler - Westinghouse Air Brake Technologies Corp.: Good morning, Allison.
Albert J. Neupaver - Westinghouse Air Brake Technologies Corp.: Good morning.
Allison A. Poliniak-Cusic - Wells Fargo Securities LLC: When we look at the revenue assumption for 2017 of $4.1 billion, I think last we spoke, you talked about potentially a low single-digit organic growth assumption embedded in that, based on sort of where we started in Q1. Are you still comfortable with that low single-digit or sort of the components of that $4.1 billion assumption change?
Raymond T. Betler - Westinghouse Air Brake Technologies Corp.: Yeah. We're still comfortable with that Allison. We're not surprised by the slow start for the year. We've just put it that coming into 2017. Our expectations are the freight traffic is going to continue to grow, and that we're going to pick up in the aftermarket area later in the latter part of the year. Second half was where our expectations were focused.
Albert J. Neupaver - Westinghouse Air Brake Technologies Corp.: Most of the drag in revenue will still come from the transit area. Keep in mind that our transit projects as we tried to explain on the last call, a lot of these projects are queued up and we'll see revenue recognition getting greater in the second quarter and then with more acceleration in the third and fourth quarter.
Raymond T. Betler - Westinghouse Air Brake Technologies Corp.: Yeah. So, that's a good point what Al explained, that also means projects are three year to five year in length. So, you literally have those programs into revenue plan, and with the great backlog that we have and continue to build, that revenue stream will systematically build as a result.
Allison A. Poliniak-Cusic - Wells Fargo Securities LLC: Great, thanks. And then on the PTC and signaling, you still talked about flat, but you also noted a number of new contracts. So we assume there is a time early probably for 2018 and beyond, I mean, how should we think of the ramp of this, and I guess are you hearing any delays push up still in the near-term?
Raymond T. Betler - Westinghouse Air Brake Technologies Corp.: Well, actually, the phenomenon in the PTC and signaling area, on the signaling side, it's similar to what Al just described for transit projects. As you put those big projects there, three, four, five years in length to execute the first part of the project normally is relatively low revenue recognition because it's associated with the engineering. So, you don't start to get equipment revenues and delivery revenues until second and third year. So yes, those will start to influence us in terms of added revenue more in two to three year time period. As far as PTC goes, the hardware actually buy (27:35) was up in Q1. I think that was fundamentally a pickup or a catch-up associated with the shortfall that existed in 2016. We expect most that the hardware for PTC to be bought out this year. There may be slight amounts left for 2018. The commissioning will – and integration will probably take place over this year and next year. So PTC, as you've known it, over the last four, five years, is going to change from hardware to maintenance and service contracts and enhancements. And then, we're going to get more and more of these – hopefully get more and more of these train control and signaling projects, which we continue to with.
Allison A. Poliniak-Cusic - Wells Fargo Securities LLC: Perfect. Thanks so much, guys.
Raymond T. Betler - Westinghouse Air Brake Technologies Corp.: Thank you.
Operator: The next question is from Jason Rodgers of Great Lakes. Please go ahead.
Jason A. Rodgers - Great Lakes Review: Yes. Just a follow-up on that last question on PTC, given the shift in mix from hardware to maintenance and service for 2018. Would you expect the overall revenues to be higher in 2018 versus 2017?
Raymond T. Betler - Westinghouse Air Brake Technologies Corp.: No. PTC, so let's take each component. PTC hardware will not be higher in 2018 and 2017. On signaling projects, then, they will continue to generate revenue. We're saying for this year, we expect the revenue to be about flat. Obviously, next year's revenue are going to be influenced by how many new projects we can win. We have several new projects that we're bidding on and we're relatively confident that we're going to win, so that will influence the revenue stream for next year. In the MSA revenue we've booked, entered into contracts with the majority of the Class I's, there's still a couple left that we're negotiating with. And that revenue stream we'll build over time. In the first year it will taper up, it will grow and then it will reach annual flat revenue base which we've given numbers of about 5% to 10% compared to the installed base that we have on PTC hardware.
Albert J. Neupaver - Westinghouse Air Brake Technologies Corp.: I think, it's awful early, it's early for us to really comment specifically on 2018. But I think it's important to note that this is really the focus not only for us, but it's really the focus of the freight and transit railroads around the world and that's to improve the safety, efficiency and productivity. And that's exactly what Ray talked about when he was talking about his roadmap, and that is that we see a lot of opportunities in the signaling area, in the onboard train control area, in the enhancements and ways of trying to take our installed base of the onboard computer and add features to that, that will help in the efficiency and the productivity for the railroads. So long-term, this is definitely a growth area for us. It's a segment that we're really excited about and one of the areas that we will see growth. As far as specifically looking at 2018, we'll know more as the year goes on. But we're pretty sure right now based on the backlog and what projects we're aware of, that our sales should be flat from 2016 to 2017, and possibly even slightly up. We could win some more projects, and we could get them going.
Jason A. Rodgers - Great Lakes Review: All right. That's helpful. And then looking at your forecast for your freight business for 2017, are you assuming that freight traffic continues to grow at around that 4% level or what are the expectations there? Thanks.
Raymond T. Betler - Westinghouse Air Brake Technologies Corp.: Yeah, that's our assumption. We don't have any information to assume anything else. It seems to be fairly consistent. It goes up and down week by week, but it seems to be fairly consistent since beginning of the year.
Albert J. Neupaver - Westinghouse Air Brake Technologies Corp.: Yeah. And it depends a lot on the comparison. I mean that number really is a comparison number. So what we are planning is that the volumes in the carloadings will improve as the year goes on. Whether that percentage does or not depends on the comparisons, whether they are tough or easier.
Jason A. Rodgers - Great Lakes Review: And then finally, it sounds like you've got some positive early signs with the Faiveley acquisition. I was just wondering, if you've seen any material employee turnover, increased competition or any other short-term disruptions from the acquisition?
Raymond T. Betler - Westinghouse Air Brake Technologies Corp.: No, we have not. The integration has gone very well. We haven't seen any unexpected losses of key personnel or anything like that. I think people are pretty excited in all areas of our corporation about the future.
Jason A. Rodgers - Great Lakes Review: Sounds great. Thanks a lot.
Raymond T. Betler - Westinghouse Air Brake Technologies Corp.: Thank you.
Operator: The next question is from Scott Group of Wolfe Research. Please go ahead.
Scott H. Group - Wolfe Research LLC: Hey, thanks. Good morning, guys.
Raymond T. Betler - Westinghouse Air Brake Technologies Corp.: Good morning.
Albert J. Neupaver - Westinghouse Air Brake Technologies Corp.: Good morning.
Scott H. Group - Wolfe Research LLC: Can we start just on Faiveley? Is there any way where you can give us a number for and how much revenue in the quarter was from Faiveley and maybe how much operating income or pre-tax income was from Faiveley? And then of the about $15 million to $20 million of synergies, how much you've realized so far?
Albert J. Neupaver - Westinghouse Air Brake Technologies Corp.: If you looked at the numbers that Pat gave, most of the increased revenues that we have in the transit area is coming from that acquisition. So, that comes out about $270 million or so. Other than that, the internal growth rate is, we had a flat business other than that and there was another small acquisition that's added to that number. As far as commenting on the margins, we typically do not provide that and we're going to stay key (34:35) to that, you have to realize right now, there is a lot of different things happening. We're integrating businesses, so it's a complex analysis. We are in the start-up phase as far as getting and realizing synergies. You take advantage of some sourcing as I said, where we're trying to take a look at tax planning. We're getting synergies here. We're getting synergies as far as duplication of engineering projects. We've got some duplication of actual head count, and we're tracking all those. We had about a 100 as I said, a 100 different synergy projects that we're tracking almost on a two-week to three-week basis, and we've got the whole team involved on it. Those synergies, the realization of them, it will take time and it will grow as the year goes on and into 2018, keeping in mind that we still think that after a run rate in the third year we should be at a $50 million synergy addition to our current business plan. So we're pleased where it's at, we've got a lot of work to do, and we're really pretty focused on a lot of different areas.
Scott H. Group - Wolfe Research LLC: Yeah. Just so I'm clear on the way you guys are talking about synergies, is the $15 million to $20 million a full-year 2017 number or a run rate synergies by the end of the year?
Albert J. Neupaver - Westinghouse Air Brake Technologies Corp.: Full year.
Scott H. Group - Wolfe Research LLC: Okay, okay. So...
Albert J. Neupaver - Westinghouse Air Brake Technologies Corp.: (36:15).
Scott H. Group - Wolfe Research LLC: Okay. From a full year guidance standpoint, I know you talk about a sequential ramp in earnings. And if you look at first quarter as a percent of a typical year, it implies something a good amount below your guidance. So, maybe it'd be helpful, at least would be helpful for me like, can you help us think about the sequential progression that you're thinking in terms of second quarter and then third and fourth quarter? And what kind of sequential earnings increases you're thinking about, just because the model is a little tough right now?
Albert J. Neupaver - Westinghouse Air Brake Technologies Corp.: We've never given quarterly guidance and we really don't want to do it. I think that the statements that we made is that we will sequentially get better with more acceleration in the second half. There is the business model has changed quite a bit. I think traditionally, we've only had, if you go back to history, the first quarter has always been a pretty good quarter, the second quarter was – very usually had seasonalization in the third quarter because of the European impact and the fourth quarter was going bank busters. And we still expect to see a fall back in that third quarter because of the European effect from a general business level, but I don't think you'll see much different, and the fact that now we are a project-based business with large transit projects that we know are in our backlog and we'll kick-in as the year goes on. And that's the big change because as the models change, we were 60% freight business and the 40% transit business and it's flip-flopped.
Scott H. Group - Wolfe Research LLC: Okay, okay. And then just last question, just going back to PTC, I sometimes go just confused with the numbers in terms of PTC versus total signaling. Can you give us the breakdown of like the $250 million of sales last year? How much of that was PTC hardware? How much was signaling? And then, maybe, what you're thinking for this year's PTC versus signaling, if that's the right way to break it down?
Timothy R. Wesley - Westinghouse Air Brake Technologies Corp.: Hey, Scott. This is Tim. So last year, we did about $350 million in train control and signaling, that was about $250 million in train control and a little under $100 million in signaling. And what we will see then – and that's the extent of the breakdown, we're not going to get into the details of all the other different line items within those. And then this year, what we've said is, we expect that about $350 million for train control and signaling to be flat to slightly up. We could see the train control piece down a little bit and the signaling up a little bit.
Scott H. Group - Wolfe Research LLC: Okay. And then the first quarter number that you gave of $65 million, I think was $65 million, what was that, was that a total signaling or just PTC?
Timothy R. Wesley - Westinghouse Air Brake Technologies Corp.: It was $68 million and that's both, so that's train control and signaling, so that's consistent with the – about $350 million of those two that we did last year, total of last year.
Scott H. Group - Wolfe Research LLC: Okay. Thanks a lot for the time, guys. Appreciate it.
Albert J. Neupaver - Westinghouse Air Brake Technologies Corp.: Thanks.
Operator: The next question is from Justin Long of Stephens. Please go ahead.
Justin Long - Stephens, Inc.: Thanks, and good morning.
Raymond T. Betler - Westinghouse Air Brake Technologies Corp.: Hi, Justin.
Justin Long - Stephens, Inc.: Hi. Just wanted to ask first about transit revenue, it seem like it was a little bit light in the quarter relative to Street expectations. And I just wanted to clarify, was there anything that surprised you in the transit business year-to-date or as you talked about before, is this just a timing issue due to the projects that ramp more significantly over the next several quarters?
Raymond T. Betler - Westinghouse Air Brake Technologies Corp.: There is definitely nothing that's surprised us, Justin. Again, we have these projects programmed in there, it's hardcore revenue, the only thing that would impact our forecast over the year would be if a project would get cancelled, which is extremely unusual in the transit market and/or delayed which is not unusual in the transit market. But once the project startup, normally the projects are not delayed in process. So the delays normally come at the front end of the project. So, you might delay revenue for transit projects case-by-case. So once those projects start to ramp up and generate revenue, it's pretty much continuous flow. And the project execution, again, really, if you get into the details of when these transit projects are very, very predictable. So all I can tell you is that we have to your point, to Scott's point, we have a very a detailed forecast and a revenue plan and it supports our expectations for the year.
Justin Long - Stephens, Inc.: Okay, great. And maybe on those transit projects that are ramping, could you give some more color on whether those are OE related or aftermarket related or maybe a combination of both, just trying to figure out how that ramp in the top-line will kind of flow through to margins?
Raymond T. Betler - Westinghouse Air Brake Technologies Corp.: So the majority are OEs related and it's projects like German high-speed trains where we have brake stores, air conditioning. We have double deck trains in France where we have brake stores, air conditioning, auxiliary power supplies, pantographs. In France, we have brake stores, electronics. In the U.S. we have R179. We have PTC projects in the transit area which you're aware of. So there is a lot of OE, but we continue to build our aftermarket. The beautiful thing about transit market, as we've talked before, is that once you have that installed base and we're expanding geographically, we're about to book some very significant orders in the markets I talked about. And once you have that installed base, you're there for 40, 50 years and that aftermarket business is good margin business. It's equal to the aftermarket margins in the freight side. So, what you're seeing on a top-line basis is dominated by only business, but we are building our aftermarket.
Justin Long - Stephens, Inc.: That's helpful. And maybe one last question. Longer-term, I just wanted to get your view on the outlook for locomotive, and the locomotive and railcar cycles in North America. And if you think we're in a situation where we remain below replacement levels for multiple years, are there more aggressive restructuring or cost cutting efforts that you could start to deploy?
Raymond T. Betler - Westinghouse Air Brake Technologies Corp.: Yeah. So to be honest, Justin, we haven't stopped the cost cutting and restructuring efforts. So, you know that the freight car build is down as well as the locomotive build is down this year and down significantly. If you look at locomotives, I just had a meeting with the GE folks last weekend, we want you to forecast on a worldwide basis. We're talking about a significant drop, I mentioned 30% in my comments in this country, the build maybe only around 500 and worldwide maybe 600. So, and car builds down to 40%. Where it's headed, the GE folks I can tell you are focused on international. We're focused on international, that's a benefit of us expand in our geographical footprint over the years. Now, we can localize and support projects there. So, as far as the trend goes on the freight car side, for this year, we still are looking at about 40,000, I think the build was 10,200 or something like that in Q1. And next year, the backlog there has been deteriorated. Next year, it could drop again, we've said that before, it could drop to 20, could drop to 30. Right now, we don't have enough visibility to predict that. But we're not anticipating freight car builds going up next year and we're not anticipating locomotive builds going up. So we're managing based on the facts we have in front of us which means we've got to cut costs and we got to continue to restructure our business and that's what we're doing.
Justin Long - Stephens, Inc.: Okay. That's helpful. I'll leave it at that. I appreciate the time.
Raymond T. Betler - Westinghouse Air Brake Technologies Corp.: Thank you.
Operator: The next question is from Saree Boroditsky of Deutsche Bank. Please go ahead.
Saree Boroditsky - Deutsche Bank Securities, Inc.: Good morning. I just had a follow-up on the questions regarding guidance. So you maintain the guidance of around $4.1 billion despite the bolt-on acquisitions and then lower FX headwind. So, I just want to see if there's anything else that changed in your outlook that offset those.
Raymond T. Betler - Westinghouse Air Brake Technologies Corp.: No, the bolt-on acquisitions, they're relatively small annual revenue, but they're nice strategy acquisitions. Faiveley was – we closed last year, so it was in our plan already. So no, it's, again, we have a very detailed forecast that supports our revenue guidance.
Saree Boroditsky - Deutsche Bank Securities, Inc.: Okay. And then I guess, there's still a fairly wide range in your EPS forecast. So I was just wondering if you could just help us understand what needs to happen to reach the higher end of that versus the lower end.
Raymond T. Betler - Westinghouse Air Brake Technologies Corp.: Okay. I felt badly for Pat, so I'm going to let him answer the question.
Patrick D. Dugan - Westinghouse Air Brake Technologies Corp.: I think the guidance, the range on the EPS guidance really comes down to some of the seasonality and some of the revenue volumes when they hit, and lastly, just being cautious on the recovery in the aftermarket business for North America freight. So, I think we've got a lot of moving – as the questions sort of have focused on correctly. A lot of moving parts, a lot of changes are occurring with the business. We're assuming some recovery in North America aftermarket business, and also some restructuring in synergies that are coming with the acquisition. So a lot of things moving, and so we're putting a range out there to be careful.
Saree Boroditsky - Deutsche Bank Securities, Inc.: Okay. Thanks for answering my questions. I'll get back in queue.
Operator: And the next question is from Mike Baudendistel. Please go ahead.
Michael J. Baudendistel - Stifel, Nicolaus & Co., Inc.: Thank you. Just wanted to see, can you provide any comments at all on the potential for Siemens Rail and Bombardier, merging? I mean, what impact would that have on you? Can you give us a sense for how big a customer is Bombardier or how big of a direct competitors is Siemens Rail, and any types of those comments would be great?
Raymond T. Betler - Westinghouse Air Brake Technologies Corp.: Yeah. They're both big customers of ours, and they're one of the big four. Big three being European at CRC, and the industry, one of the big four worldwide. We have no insight into what is going on, Michael one (48:59), between Siemens and Bombardier, other than what we read in the paper, rather there's been a lot of consolidation in the industry over four decades I've been in the industry and I suspect it's going to continue. So what those two decide to do in the end, we'll adjust accordingly. Bombardier, as you know, has been rumored to be combined with several other companies in the past. So this could just be rumors or superficial discussions, who knows? But we certainly have no influence or insights.
Michael J. Baudendistel - Stifel, Nicolaus & Co., Inc.: Got it. Thanks for those comments. Just also wanted to ask you – just on the income statement. You talked about interest expense and other income, you netted those amount, but if you look at them separately and it looked like the other income was a $2.3 million favorable impact that you really haven't had the last few quarters. And I was just wondering is that something that's sustainable or any specific reason for that?
Patrick D. Dugan - Westinghouse Air Brake Technologies Corp.: Yeah. When we do our guidance, we really are anticipating that, that's a relatively flat number, those are variety of things including gains from FX translation, gains and losses on foreign exchange. And so we have, on occasion, had losses – had income there. And so, just with the change, I mean, in some of the base currencies for us that we have a slight gain this quarter. So going forward, we're expecting it to be neutral and interest expense to improve as we bring cash and repay debt.
Michael J. Baudendistel - Stifel, Nicolaus & Co., Inc.: Got it. Thanks very much. That's all I had.
Raymond T. Betler - Westinghouse Air Brake Technologies Corp.: Thank you.
Operator: And the next question is from Sam Eisner of Goldman Sachs. Please go ahead.
Samuel H. Eisner - Goldman Sachs & Co.: Yeah. Good morning, everyone.
Raymond T. Betler - Westinghouse Air Brake Technologies Corp.: Hi, Sam.
Patrick D. Dugan - Westinghouse Air Brake Technologies Corp.: Good morning.
Samuel H. Eisner - Goldman Sachs & Co.: So maybe just to start off with, can you talk a little bit about the business through the first 25 days of the quarter here, just 2Q trends across however you guys want to slice it across the segments, across the components of the segment. Just curious how the second quarter is looking for you?
Patrick D. Dugan - Westinghouse Air Brake Technologies Corp.: Yeah. I think it's in line with what our guidance has been and I don't think there's been any big surprises, but clearly at 25 days we continue to focus on all the same things we have talked about, which is integrating the businesses and making sure we're hitting all our targets and so, on that I don't think there's lot more we could talk about.
Raymond T. Betler - Westinghouse Air Brake Technologies Corp.: The only thing we'd say – we just have an awful lot of pending closure on orders right now. That's probably a positive and we're not seeing any drastically difference between the first and the second quarter. Just little pickup that we're seeing in freight carloadings, that continues, but there's nothing else that's drastically changing other than the amount of I think large projects that we're trying to finalize it.
Samuel H. Eisner - Goldman Sachs & Co.: That's helpful. And maybe continuing on that line, can you talk about, you mentioned obviously aftermarket is starting to accelerate, is there a way to talk about within the first quarter, what the growth was within the aftermarket portion of freight?
Timothy R. Wesley - Westinghouse Air Brake Technologies Corp.: Sam, this is Tim, if you look at fourth quarter versus first quarter, we saw about $25 million of aftermarket revenue growth in freight from the fourth to the first, probably about half of that was acquisitions and then the rest was organic. So we have started to see some slight pickup there like we talked about.
Samuel H. Eisner - Goldman Sachs & Co.: But still down year-on-year?
Timothy R. Wesley - Westinghouse Air Brake Technologies Corp.: Yes. Yes. Still down year-on-year.
Samuel H. Eisner - Goldman Sachs & Co.: Okay.
Timothy R. Wesley - Westinghouse Air Brake Technologies Corp.: Comparing the first quarter of this year to first quarter last year, yes, still down.
Samuel H. Eisner - Goldman Sachs & Co.: Okay. And maybe a few other housekeeping items. I think you went through a little bit before of the cash flow items. I don't know if you commented about what total cash from operations was in the quarter?
Patrick D. Dugan - Westinghouse Air Brake Technologies Corp.: Well, cash from operations was actually a negative, it was about $26 million negative. But that's so that you've got to adjust that number because an awful lot of our deal cost, which were accrued for in the fourth quarter were paid, okay, so when you back out the one-time items, it's about $30 million worth of deal costs that were paid in the first quarter that were accrued for at the end of 2016. Now, then when you look at the normalized performance in terms of cash flow, we usually have first quarter is a challenge for us. On top of that, we have the normal things that get paid in the first quarter, some benefits and incentive-related accruals, tax, interest, a number of items. And so, we typically have our weakest performance in the first quarter and then, it improves throughout the year. So nothing that I don't think is normal and we remain on our budget and plan for the full year, once you take into account the items that we paid for related to the acquisition.
Samuel H. Eisner - Goldman Sachs & Co.: That's super helpful. And maybe just two other quick questions here. Just on your non-rail business, I think there's been a few pieces of M&A within the historical non-rail portion of your Freight segment, how was that performing throughout the course of the quarter? How is that performing versus the fourth quarter? Certainly, there's a lot of positive data points on general industrial market. So just curious what you're seeing on that non-rail business?
Raymond T. Betler - Westinghouse Air Brake Technologies Corp.: I think in the industrial business, non-rail business is improving. We're seeing some improvements in the elastomer and rubber business, we're seeing some improvements in the heat exchanger business. So I think in generally, it's trending along with the economy. So, it's not dramatic improvement, but we are seeing some slight improvement in those areas.
Samuel H. Eisner - Goldman Sachs & Co.: And if I can sneak one more in here, I'm sorry. Just on the 2016 versus 2017 for PTC, you commented that maintenance revenue is going to be growing really – for the software revenue is going to be growing. I'm curious as a percentage of that $350 million, what was it in 2016 and what are you anticipating for 2017? Thank you.
Raymond T. Betler - Westinghouse Air Brake Technologies Corp.: So the revenue in 2016 was – did we give a number? It's a relatively small number for 2016, Sam, because we were literally just booking those contracts. So, the contracts will ramp-up over a year period. And then will reach a steady-state. So, overall – we've given that number?
Timothy R. Wesley - Westinghouse Air Brake Technologies Corp.: No.
Patrick D. Dugan - Westinghouse Air Brake Technologies Corp.: No.
Raymond T. Betler - Westinghouse Air Brake Technologies Corp.: Okay, overall this year – (56:29) you guys don't want me to be disclosing the details of the service agreements, but what will happen is we have two, three months service agreements to book. We're in the process of negotiating those. So, throughout the course of this year, we'll reach a steady state on the service agreement. So service agreements are fixed – basically fixed fees agreements with opportunities then for enhancement revenue, which will be incremental. So, the fixed fee opportunity is 5% to 10% of our installed base that we talked about before. And then what we're trying to concentrate on now is we're going to generate enhancement opportunities. So there's upgrades and other things but data analytics and software enhancements, productivity improvements or we're speaking with the Class I's. And then longer term comes the, the focus on our product roadmap that I talked about. And that focus really, if you look at, it's out 5, 10 years, you know our focus is on fully automated railroads.
Patrick D. Dugan - Westinghouse Air Brake Technologies Corp.: It could be just a relative number, we expect that particular line item, of all the – if we add them all up to be there's – almost three, four times what we were – three or four times than we accomplished in 2016. So, it's significant, yeah.
Samuel H. Eisner - Goldman Sachs & Co.: Got it. That's super helpful, guys. I'll hop back in queue. Thanks.
Raymond T. Betler - Westinghouse Air Brake Technologies Corp.: Thank you.
Operator: There are no additional questions at this time. This concludes our question-and-answer session. I would like to turn the conference back over to Tim Wesley for closing remarks.
Timothy R. Wesley - Westinghouse Air Brake Technologies Corp.: Okay. Thanks, Kate. Thanks everybody for being on the call. And we will talk to you in about three months. Have a great day.
Patrick D. Dugan - Westinghouse Air Brake Technologies Corp.: Thank you.
Raymond T. Betler - Westinghouse Air Brake Technologies Corp.: All right.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.